Operator: Ladies and gentlemen, thank you for standing-by. And welcome to Vishay Q3 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer session [Operator Instructions]. I would now like to hand the conference over to your speaker for today, Peter Henrici. Thank you. Please go ahead.
Peter Henrici: Thank you, Stephanie. Good morning, and welcome to Vishay Intertechnology's third quarter 2019 Conference Call. With me today are Dr. Gerald Paul, Vishay's President and Chief Executive Officer; and Lori Lipcaman, our Executive Vice President and Chief Financial Officer. As usual, we'll start today's call with the CFO, who will review our third quarter 2019 financial results. Dr. Gerald Paul will then give an overview of our business and discuss operational performance as well as segment results in more detail. Finally, we'll reserve time for questions and answers. This call is being webcast from the Investor Relations section of our website at ir.vishay.com. The replay for this call will be publicly available for approximately 30 days. You should be aware that in today's conference call, we will be making certain forward-looking statements that discuss future events and performance. These statements are subject to risks and uncertainties that could cause actual results to differ from the forward-looking statements. For a discussion of factors that could cause results to differ, please see today's press release and Vishay's Form 10-K and Form 10-Q filings with the Securities and Exchange Commission. In addition, during this call, we may refer to adjusted or other financial measures that are not prepared according to generally accepted accounting principles. We use non-GAAP measures because we believe they provide useful information about the operating performance of our businesses and should be considered by investors in conjunction with GAAP measures that we also provide. This morning, we filed a Form 8-K that outlines the various variables that impact the diluted earnings per share computation. On the Investor Relations section of our website, you can find a presentation of the third quarter 2019 financials and metrics. Now, I turn the call over to Chief Financial Officer, Lori Lipcaman.
Lori Lipcaman: Thank you, Peter. Good morning, everyone. I am sure that most of you have had a chance to review our earnings press release. I will focus on some highlights and key metrics. Vishay reported revenues for quarter three of $628 million. EPS was $0.21 for the quarter. Adjusted EPS was $0.26 for the quarter. During the quarter, we continued our cash repatriation program. We repatriated $115 million to the United States, and paid withholding and foreign taxes of $18 million. These taxes have been accrued upon enactment of U.S. tax reform in 2017. The payment of these taxes is reflected as an operating cash flow on the statement of cash flows. Also, during the quarter, we recorded restructuring charges of $7 million, related to the cost reduction program we announced in July. I will elaborate on these transactions in a few moments. Revenues in the quarter were $628 million, down by 8.3% from previous quarter, and down by 19.5% compared to prior year. Gross margin was 9%, operating margin was 8.1%, adjusted operating margin was 9.3%. EPS was $0.21, adjusted EPS was $0.26. EBITDA was $91 million, or 14.5%. Adjusted EBITDA down was $99 million or 15.7%. Reconciling versus prior quarter, adjusted operating income quarter three 2019, compared to operating income for prior quarter, based on $57 million lower sales, or $55 million excluding exchange rate impacts. Adjusted operating income decreased by $21 million to $58 million in Q3 2019 from $79 million in Q2 2019. The main elements were average selling prices had a negative impact of $7 million representing 1.1% ASP decrease. Volume decreased with a negative impact $22 million, equivalent to a 7.1% decrease in volume. Variable costs decreased with a positive impact of $4 million, primarily due to improve manufacturing efficiencies and cost reductions, which more than offset costs to adapt direct labor and foundry capacities to near-term volume expectations. Fixed costs decreased with a positive impact of $4 million, primarily due to general belt tightening measures, as well as the realignment of incentive compensation accruals for the period year-to-date September. Reconciling versus prior year, adjusted operating income quarter three 2019, compared to operating income in Q3 2018. Based on $153 million lower sales, or $144 million lower excluding exchange rate impacts. Adjusted operating income decreased by $80 million to $58 million in Q3 2019 from $138 million in Q3 2018. The main elements were average selling prices had a negative impact of $12 million representing 1.9% ASP decline. Volume decreased due to the negative impact of $59 million, representing a 17.4% decrease. Variable costs increased with a negative impact of $7 million, primarily due to temporary manufacturing inefficiencies and cost to adapt direct labor and foundry capacities to near-term volume expectations. Other variable cost inflation was virtually offset by cost reduction. Fixed costs decreased for the positive impact of $4 million, primarily due to general belt tightening measures, as well as the realignment of the incentive compensation accruals for the period year-to-date September, which more than offset inflation. Inventory FX had a negative impact of $5 million. Selling, general and administrative expenses for the quarter were $92 million lower than expected, primarily due to belt tightening measures, realignment of incentive competition accruals for year-to-date September, and other individually immaterial items. For quarter four 2019, our expectations are approximately $95 million of SG&A expenses and approximately $385 million for the full year at constant exchange rates. During the third quarter, we continued our cash repatriation programs, which included movement of cash from some second and third tier subsidiaries to higher tier subsidiaries. During quarter three, we received $115 million in the United States and paid withholding and foreign taxes of $18 million. This brings the totals year-to-date to $189 million received in the United States, with $38 million of withholding and foreign taxes paid. Substantially, all of these amounts have been utilized to pay down the revolver. She settled certain intercompany debt, to finance capital expansion projects and to pay the tax reform transition tax. We call it [ph] well such amounts are no longer subject to U.S. federal tax due to U.S. tax reform. They're subject to foreign withholding other taxes and some state income taxes. There are approximately $100 million of additional earnings available for repatriation with taxes accrued. We are still evaluating the timing of such repatriation, but do not expect it to be in 2019. With the total liquidity of $1.5 billion at quarter end, cash and short-term investments comprised 788 million. No amount for outstanding on the revolving credit facility. During the quarter, we've not repurchased any of our outstanding convertible debt instruments. The authorization repurchased additional convertible debt instruments will expire in a few days, but we expect it to be renewed by our board. Such transactions will be made an open market repurchases or through privately negotiated transactions subject to market and business conditions, legal requirements and other factors. Our debt - at quarter end is comprised of the convertible notes during 2025 and the remaining convertible debentures due in 2040 and 2041. The principal amount or face value of the converts totalled $621 million, 600 million related to the new notes and 21 million related to the remaining debentures. Recurring value of four 496 million is net of unamortized discounts, and debt issuance costs. As I said, there were no amounts outstanding on our revolving credit facility at the end of quarter three. No principal payments are due until 2025 and the revolving credit facility expires in June 2024. As announced in July, we are implementing global cost reduction programs intended to lower costs by approximately $15 million annually when fully implemented and provide management rejuvenation. Some of these projects have already started, but in most cases, our strategy in the first phase is to seek volunteers to accept a voluntary separation early retirement offer. Accordingly, the amount of restructuring expenses recorded for these programs during Q3 is only $7 million. We expect to incur restructuring charges related to these programs totaling $25 million and expect the cost reductions to be fully achieved by December 2020. The year-to-date effective tax rate on a GAAP basis was approximately 30%. The year-to-date normalized tax rate was slightly above 26%. For the quarter, this mathematically, yields a GAAP tax rate of approximately 31% for Q3, in a normalized rate of approximately 25%. Our GAAP tax rate includes adjustments to remeasure the deferred tax liability related to incremental foreign taxes payable upon repatriation, such as foreign currency FX. A similar remeasurement will occur quarterly until such amounts have been repatriated. The remeasurement adjustment was an expensive 2.6 million for the quarter and an expense of 2.0 million year-to-date. Our year-to-date GAAP tax rate also includes the unusual tax benefits related to the settlement of some of the convertible debentures from Q1 and tax expense on a tax basis foreign exchange gain resulting from the payment of an intercompany loan previously deemed permanent in Q2. We continue to evaluate the provisions of the U.S. tax law, particularly aspects of the guilty and beat Texas. Our consolidated effective tax rate is based on an assumed level and mix of income among our various taxing jurisdictions, a shift in income could result in significantly different results. Total shares of Senate at quarter end or 144 million. The expected share count for EPS purposes for the fourth quarter 2019 is approximately 145 million. For a full explanation of our EPS share count and variables that impact the calculation, please refer to the 8-K we filed this morning. Cash from operations for the quarter was $76 million. Capital expenditures for the quarter were $30 million. Free cash for the quarter was $46 million. For the trailing 12 months, cash from operations was $362 million. Capital expenditures were $204 million, split approximately for expansion $111 million, for cost reductions $25 million, for maintenance of business $68 million. Proceeds from the sales of property equipment for the trailing 12 months were 48 million, which primarily represents the sale of our former manufacturing facility in Santa Clara, California. We have leased back the property under short term arrangements, arrangement to raise the buildings. Free cash generation for the trailing 12-month period was $205 million. The trailing 12 months period includes $53 million cash taxes paid, related to cash repatriation $38 million and U.S. tax reform $15 million. Vishay is consistently generating excess of $100 million cash flows from operation in each of the past 24 years and greater than $200 million for the last 17 years. Backlog at the end of quarter three was $1.127 million or 4.5 months of sales, still high compared to our historical average per customers three months. Inventory has decreased quarter-over-quarter by $12 million excluding exchange rate impacts. Days of inventory outstanding were 87 days, days of sales outstanding for the quarter were 51 days; days of payables outstanding for the quarter were 29 days, resulting in a cash conversion cycle of 109 days. Now I’ll turn the call over to our Chief Executive Officer, Dr. Gerald Paul.
Gerald Paul: Thank you, Lori and good morning, everybody. As expected, Vishay’s financial performance also in the third quarter has been negatively impacted by a lower demand predominantly from distribution. Still high inventory levels in the supply chain keep burning orders and revenues. Manufacturing capacities had to be further reduced, causing temporary inefficiencies for some product lines. Vishay in the third quarter achieved the gross margin of 24% of sales and GAAP operating margin of 8% and adjusted operating margin of 9% of sales, GAAP earnings per share of $0.21 and adjusted earnings per share of $0.26. We continue to show a strong generation of free cash, which was $46 million in the quarter and this includes the taxes paid for cash repatriation of $18 million. Let me talk about the economic environment as we see it. Also, in the third quarter, global economy for electronic components remained on a reasonable level in general but continued to show areas of relative weakness like automotive globally and industrial in China. Inventories in the supply chain after having reached a record high into second quarter, started come down noticeably. Lead times for most of the product times have normalized. Backlogs remain high at this point but are underway to come down to more historical levels, book-to-bill ratios remain substantially below 1, actually 0.72 in the third quarter. The price decline for commodity products has returned to normal rates which of course is no surprise. Commenting on the regions, geographically markets also in the third quarter continued to develop rather differently. Economic conditions in the United States continued to be favorable supported by strong industrial, military and also automotive sectors and the POS remains at high levels. Europe is weakening, impacted mainly by a softening of the automotive and industrial market segments. Generally, there is too much inventory and supply chain in Europe. Despite ongoing economic uncertainties, Asia seems to have bottomed out with some signs for a recovery. Talking about distribution, POS of global distribution in the third quarter declined by 4% versus prior quarter and was 14% below prior year. Regionally, we see a rather different picture. Sequentially in Europe, POS declined by 7% reflecting more difficult market situation. POS in the U.S. went down by 5% but remained at a good level. POS in Asia has stabilized. Despite an overall weaker POS, inventories in the third quarter came down noticeably and let me emphasize that in a broad way. In Q3, inventory turns of distributors declined slightly to 2.4 as compared to 2.5 in prior quarter, and to 3.5 in prior year. In the Americas, it was 1.5 inventory turns after 1.5 in the second quarter and 2.3 in prior year. In Asia 3.3 turns after 3.2 in the second quarter and 4.5 in prior year. In Europe, 2.9 after 3.0 and 3.8 in prior year. Let me come to the various industry segments. First, automotive, automotive customers predict weaker sales to decline this year and do not expect a major turnaround for 2020. Nevertheless, our sales should remain healthy, continuing to be driven by electrification and by the implementation of programs for electromobility. Industrial markets continue to show a mixed picture. Industrial automation, oil and gas, power transmission sectors remain healthy in general, whereas power supplies and lighting continue to weak. Military and aerospace markets remain solid and growing. They are supported by higher governmental spending in military mainly of course in the United States. Medical markets continue to grow steadily. The introduction of 5G is expected to drive substantial growth in fixed telecom in the midterm, whereas mobile phones remain weak. Computing shows some improvement with an expected growth of 2% this year. Consumer markets are weakening in general, which in particular relates to the white good sector. Now, let me come to this business development in the third quarter. Sales came in slightly above the midpoint of our guidance. We achieved sales of 628 million versus 685 million in prior quarter and 781 billion in prior year. Excluding exchange, it affects sales in the third quarter we're down by 55 million or by 8% versus prior quarter and down versus prior year by 144 million or 19%. We have seen a book-to-bill ratio of 0.72 in the third quarter 0.55 for distribution after the point 0.55 in the second quarter, 0.94 OEMs after 0.86 in the second quarter. 0.60 for actives after 0.56 point 0.83 for the past six after 0.81, 0.76 for the Americas after 0.72, 0.64 for Asia after 0.57, 0.78 for Europe after 0.79. In summary, there is a normalization of backlogs in the broad form and discontinuous. Backlogs in the third quarter continue to shrink to a high level still high very high level of 4.5 months down from 4.9 months in the second quarter 4.4 months in semiconductors and 4.5 in passes. Let me remind you that historical levers are approximately at three months. Distribution inventories reduced by 36 million in the quarter by all regions and virtually all commodity product lines were concerned. Price decline has restarted predominantly in semiconductors. For all we say, we have seen minus 1.1 prices versus prior quarter and minus 1.9 versus prior year. Tariff and others are included for semiconductors, this were minus 2.1% versus prior quarter and minus 4.3% versus a year ago and for the past six minus 0.1% versus prior quarter and plus 0.5% versus prior year. Some comments on operations. In the third quarter we again we're able to offset the negative impacts on the conservative margin by cost reduction and by innovation. Despite costs related to adaptation of direct labor and of near-term foundry capacities. SG&A costs in the third quarter came in at 92 million, which was below expectations primarily due to general bill tightening and the adaptation of bonuses. Manufacturing fixed costs in Q3 were 125 million. Total employment at the end of the second quarter -- at the second quarter was 23,100, down by 2% versus prior quarter, due to lower production output requirements. Excluding exchange rate impacts inventories in the quarter decreased by $12 million raw materials basically net debt [ph] down by $12 million and finished goods were flat. The inventory turns in the third quarter remains at a fairly good level of 4.1. Capital spending in Q3 was $30 million versus $50 million in prior year, $18 million was spent for expansion, $1 million for cost reduction and $11 million for the maintenance of the business. For 2019, we continue to expect CapEx of about $150 million, which reflects lower short-term market requirements. Concerning the cash flow, in Q3, generated cash from operations of $76 million versus $71 million in prior year. Q3 of last year was burdened by cash taxes paid for cash repatriation of $65 million. Q3 of this year was burdened by $18 million. We generated cash from operations of $362 million on the trailing 12 months basis, including $38 million cash taxes paid for cash repatriation. We generated in the third quarter free cash of $46 million versus $21 million in prior year, Q3 of last year was burdened by cash taxes paid for cash repatriation of $65 million, Q3 of this year by $18 million. We generated free cash of $205 million on a trailing 12 months basis, including $38 million cash taxes paid for cash repatriation. Coming to the product lines and starting with resistors and inductors. With resistors and inductors, we enjoy a very strong position in the industrial automobile and medical market segments. Vishay’s traditional and since years most profitable business, also sees the impact of high inventory at distributors. Sales in the third quarter were $227 million, down by $15 million or by 6% versus prior quarter and down by $23 million or by 9% versus prior year, all that excluding exchange rate impacts. Book-to-bill ratio in the third quarter was 0.86 after 0.88 in prior quarter. Backlog remained at 4.6 months, which is still very high. Gross margin for resistors and inductors remained at 29% of sales. Our manufacturing capacities now are adapted to present requirements. Inventory turns in the third quarter remained at a good level of 4.2. There's a low-price decline in this product line minus 0.3% versus prior quarter and minus 0.5% versus prior year. We have slowed down the expansion of manufacturing capacities for MELFs and thin film resistor chips, but we remain ready for serving increasing market requirements in the future. Coming to capacitors, our business with capacitors is based on a broad range of technologies with a strong position in American and European market niches. We enjoy increasing opportunities in the fields of power transmission and of electro cars. Sales in the third quarter were $98 million, 11% below prior quarter and 14% below prior year, which excludes exchange rate effects. Book-to-bill ratio in the third quarter was 0.76 after 0.68 in prior quarter. Also, due to commodity factors and the backlog normalization and inventory correction, backlog reduced further to a still high level of 4.3 months. The gross margin in the quarter was a 22% of sales versus 24% in prior quarter is a result of lower volume. Inventory turns in the quarter were at normal 3.4. Selling prices were increased vis-à-vis prior year and vis-à-vis prior quarter by 0.6% versus prior quarter and by 2.8% versus prior year. Several capacitor lines keep benefiting from major governmental programs in China and from the ongoing strength of the military markets in the United States. Opto, which is business with Opto product consists of infrared emitters, receivers, sensors and cutters as well as of LEDs for automotive applications. The Opto business since a few quarters suffers badly from high distribution inventories and unfavorable product mix and the general weakness of a main product line predominantly in Asia. But we now believe that the business has bottomed Sales in the quarter were $51, 16% below prior quarter, and 33% below prior year which excludes exchange rate effects. Book-to-bill in the third quarter was 0.86 after 0.70 in prior quarter. The backlog increased to 4.4 months. Gross margin in the quarter came in at 22% of sales after 27% in the second quarter much below historical levels for the most part due to substantially lower volume. The line is good inventory turns of 5.3 in the quarter as compared to 5.6 in the second quarter. Price decline is accelerating minus 2.7% versus prior quarter and minus 6% versus prior year. We expect the business to come back to more historic levels of profitability after this normalization phase. Coming to the diodes, diodes where we say represents a broad commodity business, where we are a largest supplier worldwide. Vishay offers virtually all technologies as well as the most complete product portfolio. The business has a very strong position in the automotive and industrial market segments but suffers very substantially from too high inventory at distributors. Sales in the quarter were $124 million, 13% below prior quarter and 33% below prior year which excludes exchange rate effects. The normalization of backlog progresses and explains the very weak book-to-bill ratio of 0.57 in the quarter after 0.52 in the second quarter. Backlog reduced to a still very high level of 4.9 months from 5.5 months in prior quarter. Gross margin in the quarter came in at 17% of sales, down from 20% in the second quarter. A further reduction of the sales volume in combination with costs to adapt direct labor burdened results. Inventory turns remained at a good level of 4.2 as compared to 4.3 in prior quarter. We are back to historical rates of price decline. We have seen minus 2.6% versus prior quarter and minus 3.9% versus prior year thereby tariff errors are included. We definitely expect diodes to continue their success story of recent years to the full extent after the normalization of the inventories in the supply chain has been finalized. Coming to MOSFET, Vishay continues to be one of the market leaders in MOSFET transistors. MOSFETs over the last few years developed a strong and growing position in automotive. Also, MOSFETs now see the impact of inventory reductions in the supply chain. Sales at the quarter were $127 million, 2% below prior quarter and 12% below prior year excluding exchange rate impacts. The book-to-bill ratio in the third quarter remained at 0.54. The normalization of backlogs also for the MOSFET continues. Backlog has reduced to still high level of 4 month after 5.3 months in prior quarter. The gross margin in the quarter came in at 24% of sales as compared to 25% in the second quarter, which includes costs for near term foundry capacities adaptation. Fairly good inventory turns we have seen for MOSFETs 4.0 in the quarter as compared to 4.2 in the second quarter. Price decline is at normal levels minus 1.5% versus prior quarter and minus 3.9% versus prior year. We continue to expand internal and mid to long-term foundry capacities, preparing ourselves for substantial increases of demand, in particular in automotive in the midterm. Let me summarize, after the record year 2018, our business continues to be in a face of correction and normalization. We have seen all this happening before the electronics industry business is may I say notoriously cyclical. Automotive in Far East markets in general are less favorable than in recent years, and still high inventory levels in the global supply chain should impact our business for another two quarters. On the other hand, there is no reason to doubt the growth potential of electronics. The fundamentals, if not changed at all. Vishay it's a very well-established product line supplier will benefit from all moves towards electrification going forward. We currently are managing to slow down by adapting all operational parameters, as we have done this in the past. On the other hand, our increased machine capacities will enable us to participate in the next economic upturn to the full extent. We are well on the way to implement our announced restructuring and rejuvenation program. It aims at an annual reduction of personal fixed costs of 15 million been fully implemented by Q1 2021, hoping to expect the continuation of the inventory burn off in the channel before been for the fourth quarter guide to a sales range of $582 million to $620 million at gross margins of between 23% and 24%. Thank you very much, Peter.
Peter Henrici: Thank you, Dr. Paul. We now open the call to questions. Stephanie, please take the first question.
Operator: [Operator instructions] Our first question comes from the line of Matt Sheerin with Stifel.
Matt Sheerin: Yes, thank you and good morning, Dr. Paul, in terms of the bookings or the backlog and in semiconductors versus passive, it looks like the passive component side of the business is holding up a little bit better. Is that because that seems to be lagging the semiconductors which got hit earlier does it have to do with end market exposure. Could you just talk about that?
Gerald Paul: Yes, I believe that the share of commodity products in semiconductors in the case of Vishay is much higher than in the case of passive. Our passive business consists of quite a nice share of specialty products we have backlogs never went out so much. The nervousness of getting these Specialty Products was not as high as we have seen that in the other lines in the low commodity-oriented lines, and so they passive really behave differently. It's not that they lack, it never - the reason is much less to do that. That's the answer.
Matt Sheerin: Understood, and it also looks like the pricing is starting to get hidden SMEs and not on the passive side. Are you expecting as you get into the new year, particularly with new OEM contracts that you're going to see more normal price declines in both areas of the business?
Gerald Paul: As you know, our main price decline happens at the commodity components really and this is predominantly semiconductors. We are in midst of negotiations for the next year and I can tell you, yes, there will be some concessions to be made, but nothing special. So, it's just the return of normal conditions as we see it.
Matt Sheerin: Okay, and the capacity expansion sounds like you're pulling back on some production areas, but you're also continuing to add capacity. Could you tell us areas where you are adding capacity what product lines?
Gerald Paul: Yes, there are quite a few even. So, it's a matter of fact, I don't want to go through all my lines, but predominantly inductors. They have a major success in the market, which really is independent from this economic cycle at the moment and we can hardly add capacity fast enough power a power inductor that's the most prominent example. But they also have to think of most of that. We believe that the growth in automotive with our MOSFETs will be tried substantially going forward, and we have to take care of capacities, inside capacities as well as outside capacities. I think these two segments, they represent the places so to speak where we continue to look for more volume, otherwise we are in a good position, we have invested a lot in the last two years.
Matt Sheerin: Okay. Thank you very much.
Operator: Your next question comes from the line of Harlan Sur with JP Morgan.
Harlan Sur: Good morning. Thanks for taking my question. On your broad-based segments, specifically industry and automotive, I know that these businesses are depressed levels, but off of a low based these two businesses are typically up sequentially in Q1. But you still have some inventory worked out and so, if we look at your backlog visibility for Q1 and maybe for three- and six-months customer forecast, do you think you’ll get some positive seasonality in Q1 of next year?
Gerald Paul: Well, we feel that in Q1, really everything is determined by the inventory burn off these space right. As a matter of fact, we see the inventory coming down which was good news as a matter of fact in the third quarter, and this will continue in the fourth quarter and we do believe also the first quarter will still be impacted. To the extent, the future it all depends also the development of POS. we believe that, we will see a real change of the direction in quarter two.
Harlan Sur: Got it, thank you for that. Thanks for the insights there. And then SG&A, your prior view I think on Q4 SG&A was $98 million, now you’re anticipating 95. Is that just continued discipline and belt tightening or are you getting some acceleration of the global cost reduction program sooner and - go ahead.
Gerald Paul: It will be cost reduction program, it’s still innocent for that so to speak. We’re just batting to different mix of defining. It’s not an impact, so we just save money to save clearly. We have seen sales coming down and the company’s disciplined that we started to save money as a matter of fact that we continue to do so.
Harlan Sur: And do you have an initial view on SG&A for 2020?
Gerald Paul: Yes, we do, we do. We will have less than the inflation, but we may want to, somebody helps me, so as a matter of fact, we believe SG&A in the area of 400 and this includes the inflation and the annual rates increase.
Harlan Sur: Got it, thanks and this is my last question.
Gerald Paul: Yes, we don’t have a finalized portion yet, this is the direction approximately.
Harlan Sur: Got it, okay. Appreciate that. And my last question, if I look back at the cyclical downturn let’s say 2015-2016, your current diode and Opto revenue run rates are bottoming, probably about those same levels as the last cycle but gross margins for diodes just like they’re above 400, 500 basis points lower Opto gross margins about 600, 700 basis points lower versus last cycle. What is the biggest difference is it just that utilization in this cycle are just much lower as customers' burn off inventories?
Gerald Paul: As a matter of fact, on MOSFETs, you have not mentioned MOFSETs because MOSFETs have changed to the other direction they are -.
Harlan Sur: That’s right.
Gerald Paul: Opto is a special case. Diodes I cannot see that, I believe Diodes principally speaking, it’s a specialty included, we had to reduce people this quarter and this cost money, similar effect and this is part of the P&L. diodes, we are very-very confident, they also improve their earnings power substantially over the years and continue to do so. We are, I am not satisfied with really what, I'm not satisfied with the development at our Opto lines. They suffered from lower volume, but also, they suffered more than they should have. They are focused very much on China and had some specific problems in China there. We believe that this line will turn down as we go, because they are forcing now motor sensors and coupler area, and on the way down the way to do that. So, they suffered more is no question, but this is the only line I would say that they suffered more historically.
Harlan Sur: Okay, great. Thank you, Dr. Paul.
Operator: Your next question comes from the line of Karl Ackerman with Cowen
Karl Ackerman: Hey good afternoon everyone. Thanks for taking my question. A few if I may, Dr. Paul if we were too fast forward a few quarters ahead in which thence you could get some sort of distribution quarters will be at equilibrium, should we expect ASP to stabilize or increase from thence? I guess what should we expect from an ended market mix or specific product growth initiatives that's driving upward inflection and margins notices.
Gerald Paul: Sorry, I may not have understood completely acoustically. So, what was it, so as soon as the dust will be down, you said, right? It was some. Sorry, go ahead.
Karl Ackerman: As we work through this inventory, challenge our distribution partners, what's your indication for ASP and margin for this will be beyond the beyond the simplicity of walking down at doors. What do you think the end market midst or specific product growth initiatives as you're driving up our complex?
Gerald Paul: I see no reasons that the mechanics after this normalization will be different from the mechanics which were there before this upturn which was partially leading to higher inventories. I believe that we are going to see very stable pricing in the wide field of our specialty products and you already see that happening now, like it always happened in the past is of is quite constant. And then of course, you will see some price decline on the commodity side, which also is starting to show. And this price decline we are used to, we are able since many, many years we show it even discuss it quite often that our variable margin remains constant, we can defend it, despite this price decline despite inflation backed by cost reduction and innovation. So, I see, I'm not concerned at all, we return to normal conditions and we are used to these conditions of course.
Karl Ackerman: Thank you. I know your outlook calls for us, of course will decline in our fourth quarter, but do you expect any in markets to be up sequentially in the fourth quarter. And in addition to that some of your peers in supply chain has spoken about modest improvements in actually China automotive driven on the paper side as well as how power devices, industrial systems and servers. Just hoping, if you could describe what you're experiencing in those areas, and also what you're seeing across network infrastructure, specifically as we're looking at fourth quarter Q1? Thank you.
Gerald Paul: You are talking China in particular or...
Karl Ackerman: For automotive, broadly, but China Automotive in particular, yes.
Gerald Paul: Okay. Well, in particular, automotive in general, from a standpoint of peak is produced is down in China to my understanding is down especially much. On the other hand, it's the old story bodies down in terms of pieces in terms of pieces of automotive cars produced does not mean necessarily for the electronic supplier, that he sees the same downtown. This has always been the case and also now we you see we would be to quite well in automotive and this of course, is the consequence of the fact that more and more electrification takes place in automotive and this is true for China also. In particular as I believe even in particularly in China because I believe this local suppliers that is relatively small models and want to become more sophisticated so I am not concerned I think this growing electrical constant context or the content will help us also to do quite well despite the production rates of automotive may not grow every year and maybe they are stagnating for the next years which is the common belief. China is not doing very well at the moment in total, but also this doesn't have to stay the same way. You can be also modestly optimistic that they come back to higher growth rates. Okay, this so -- I'm not concerned about automotive neither in China nor globally, it really continued to be our area of strengths obviously.
Karl Ackerman: Thanks. Sorry, just a clarification on - curious of what you're saying with regard to network infrastructure and in addition to server as some of your peers had called out? Thank you.
Gerald Paul: Thank you.
Operator: Your next question comes from the line of Shawn Harrison with Longbow Research.
Shawn Harrison: Dr. Paul, do you think that once the inventory positions at distribution normalize be it the first quarter or sometime thereafter that you'll also see your backlog get back to that normal 2.5 to 3 months level. Is there anything I guess the question is that we should be going from distribution versus trend versus your backlog normalizing?
Gerald Paul: There was a never doubt on that. During the last two years we're boomed, we knew from the very beginning from the time we started to grow quite heavily in the year 2017, we from day one knew and not only Vishay everybody knew that this was partially driven by nervousness, not getting and not being able to get enough products. There is absolutely no doubt that this business which always typically has a three months backlog will go back to this level of three months backlog when the element is fierce out in the lead times as they have done it already have normalized. No question about it, the backlogs will go back to normal.
Shawn Harrison: And I guess a larger picture question. Then the concern looming out there is kind of this made in China components initiative. And there's general theories on whether they tried to start more at the high end of the market, mid end, more commodity products and obviously a risk for semiconductor and components suppliers but what -- maybe you could talk about that risks that you see out there and whether there is any potential threats to the business over the next 12 months or a couple years from growing Chinese competition -- domestic Chinese competition.
Gerald Paul: We are Chinese also. So, as a matter of fact, if you refer - I must have a bad connection today. If you refer to our competitiveness in China vis-à-vis local suppliers and this is what I understood. We are also producing in China is a matter of fact. So, I'm not concerned there also, at the moment we go together with all the suppliers to China. We see the negative so far of an economy that doesn't grow so much anymore as it used to be. But I think there are also reasons why it's not so growing so much these days. And I believe part of the reasons may go away. And we will prove us China remains to be a center of our efforts in sales. It's the biggest market that exists for us. So, we will continue to go there, and we are quite optimistic and confident that we can compete in future
Operator: Your next question comes from the line of Ruplu Bhattacharya with Bank of America. Your line is open.
Ruplu Bhattacharya: Hi, can you hear me now?
Gerald Paul: Yes.
Ruplu Bhattacharya: Hi. Thank you for taking my question. Dr. Paul, you mentioned that there's about two quarters worth of inventory that needs to be burned off. Did I understand correctly that most of that inventory is in Europe or is it geographically equally distributed across the region?
Gerald Paul: No. This is a broad distribution of too much inventory. No, no, it's not the case. So, it's broad.
Ruplu Bhattacharya: And then did I understand correctly that pricing is getting more stable. And you see that continuing because if you still have two quarters of inventory, would that not put more downward pressure on pricing?
Gerald Paul: Now, first of all the prices on specialty products stable like they always have been, the pricing for commodity products which were rather stable in during the last two years of kind of shortage, they now start to go down like they always do. There is a continuous price decline on commodity products. And we see it now returning. But we have learned to cope with that as a matter of fact. At the times of inventory decrease is does not necessarily mean that there's more price pressure as a matter of fact.
Ruplu Bhattacharya: Okay, and for my last question, do you have a view on industry supply versus demand? I mean, your competitors have always added capacity. So, do you have a view of how much total capacity exists now in the in the system and how does that compare demand? And would that impact pricing or the next six months or year?
Gerald Paul: You refer to the high capacity increases so far in our industry of the last two years, I suspect right. Of course, there is a lot of capacity put being put in place, no question about it. And we-- and Vishay is one of the ones. But I believe, and I was always the policy to be ahead of the demand at any point in time. We have to serve our markets when the markets want to have the volume. And I believe that the economy will turn up. I think we will need this capacity in a very foreseeable future, and this is true for my competition of course also. I do not see a direct connection. Of course, theoretically, it should exist, but I do not see a direct connection between the machine capacity available in the price pressure. I admit you can argue, but property I would -- no, I have not seen that. You can always find cases where somebody wants to finish line and we are also not innocent sometimes, but overall, this is not the driving momentum now.
Ruplu Bhattacharya: Okay. All right. Thank you for taking my questions.
Operator: Thank you. There no additional questions at this time. I'll turn it back over to management for closing remarks.
Peter Henrici: Thank you. This concludes our third quarter conference call. Thank you for your interest in Vishay Intertechnology.
Operator: Thank you. This concludes today's conference call. You may now disconnect.